Operator: Welcome to SNC-Lavalin's Third Quarter 2015 Earnings Conference Call. [Operator Instructions]. At this time I would like to turn the conference over to Denis Jasmin, Vice President of Investor Relations. Please go ahead, sir.
Denis Jasmin: Thank you. Good afternoon, everyone and welcome to SNC-Lavalin's 2015 third quarter earnings conference call. Today's call is also being webcast and a replay will be available on SNC-Lavalin's website within 24 hours. With us today are Neil Bruce, President and Chief Executive Officer and Alain-Pierre Raynaud, Executive Vice President and Chief Financial Officer. Our earnings announcement was released this morning and we have posted a slide presentation on our website which we will refer to during our call. Before we begin, I would like to ask everyone to limit themselves to two or three questions to ensure that all analysts have an opportunity to participate. You are welcome to return to the queue for any follow up questions. I would also like to remind you that, as detailed on slide three, certain statements made during today's call and slide presentation about expected future events and financial results may be forward-looking and therefore subject to risks, uncertainties and assumptions. These are described in our financial documents and could cause actual results to differ materially from what may be inferred from the forward-looking statements. Such forward-looking statements represent management's expectation as of today and, accordingly, are subject to change. We disclaim any intention or obligation to update any forward-looking statements except as required by law. You will find more information about the risks and uncertainties associated with our business in our financial documents filed with the Canadian Securities Commission which can also be found under the investor section of our website. I would now like to turn the conference over to Neil Bruce. Neil?
Neil Bruce: Merci, Denis and thank you to all for joining us today. The first thing I'd really like to just cover is I'm honored to be addressing you as President and CEO of SNC-Lavalin. I'm confident that we're in an excellent position to build on our position as premier engineers and project delivery experts as we work diligently and take concrete steps to improve financial performance and deliver growth. I would also like to thank Bob Card for all he's done for the Company. Bob transformed SNC-Lavalin, repositioning it strategically and addressing important issues during a critical time in our history. He created an ethics and compliance program that is a benchmark in our industry. Nothing has changed in this regard. However, we're now firmly focused on delivering improved results and returns through winning new contracts, serving our customers and maximizing the profitability of our E&C platform. So, I'm grateful for the confidence the Board has placed in me. I have already been working with the entire executive and senior management teams as we embark on the next stage of our five year strategic plan. I would also like to welcome Hartland Paterson, who is the new EVP for General Counsel. Hartland will oversee both the legal and ethics and compliance functions, aligning SNC-Lavalin with the best practices in the industry. And under Hartland's leadership, we've also named [indiscernible] as our new Chief Compliance Officer. Henti has taken over from David Wilkins, who has retired as planned. We've also named Marie-Claude Dumas as an Executive Vice President of Human Resources. Marie-Claude most recently led our hydro business as the EVP. As a people driven business, we believe that having a proven business leader such as Marie-Claude shaping HR will support the business and improve operational efficiency and foster a performance driven culture. Our strategy will not change dramatically as a result of my new role. I have played a large part in developing and executing our current plan as part of the executive committee over the past 18 months. Our top priority is winning new contracts, improving project execution and delivering consistently improving results and returns over the medium term. We believe that we have a balance sheet strength and a management capability necessary to realize our clear growth potential. Our recent contract wins such as the Eglinton LRT which is the largest transit expansion in Toronto's history, underscores that confidence. We now have a record backlog of CAD12.7 billion, compared with CAD12.5 billion at the end of September 2014 and CAD12.3 billion at the end of December 2014. After several notable contract bookings, including CAD1.6 billion in infrastructure and CAD600 million in oil and gas, the key for us is to ensure we capitalize on this top line growth with comparatively improving profitability. We aim to deliver an annualized E&C EBITDA margin of 7% in 2017 and we will not deviate from this important priority. Our diversified business model, encompassing four sectors, provides greater resiliency than a number of our competitors. Nevertheless, the persisting softer economic environment requires us to extend further our restructuring efforts to further improve our operational efficiency and reduce our cost base by the end of 2015. Building on the cost reduction program initiated by previous management, we have launched our step change program. This program will build upon the previous management's restructuring and rightsizing plan by realigning our corporate and operating organization. We will be a more agile company, better able to deliver value to our customers. The cost of the step change program will be approximately CAD50 million after taxes which is in addition to the CAD40 million associated with the previous announced restructuring announced in Q2 of this year. Of the latter cost, we have already incurred about CAD10 million in third quarter and expect to recognize all of the remaining charges by the end of Q4 this year. We will continue to take any additional measures through 2016 to ensure that we do not deviate from our E&C EBITDA target while continuing to invest in our client facing teams and world class execution capabilities. Investment in the ICI portfolio has proven to be a successful strategy for the Company, both from an equity return and revenue generation perspective. The sale of our interest in Madagascar's Ambatovy nickel project is an excellent demonstration of our ability to deliver on an ambitious and complex industrial undertaking and then create value from the asset through the cycle. While we continue to believe there is tremendous value in Highway 407 asset, our principal focus right now is on maximizing the profitability of the E&C platform. We will update the market in due course on any plans to crystallize value from this important asset. I'm pleased with our performance in Q3 which was strong in E&C, supported by some upside in infrastructure coming through almost a quarter earlier than we had anticipated. Nevertheless, at this point in our financial year we will not be able to claw-back entirely the weaker first half performance. We're therefore maintaining our previously announced 2015 adjusted E&C EPS guidance, with the full year results expected to be at the lower end of the range, in line with analyst consensus estimates of CAD1.30 to CAD1.60. We're increasing our 2015 outlook from reported IFRS EPS to CAD2.40 to CAD2.70, up from our previous guidance of CAD1.80 to CAD2.10. This adjustment is mainly due to the third quarter net gain on the disposal of our Ambatovy interest, partially offset by additional charges related to the newly initiated step change plan. Moving now to our segment review, as you know, one of the my main responsibilities when I joined the Company was to lead the oil and gas business, where we have been executing on a strategy designed to increase significantly our market share. We went from a niche player to a top service provider, with the end-to-end expertise for large and complex projects. We're now offering end-to-end tier one services to our oil and gas clients and believe that this will continue to be a significant driver of our revenues. We recently announced a new contract for the oil and gas processing facilities at one of ExxonMobil's Iraqi oilfields. This win is indicative of the type of projects SNC-Lavalin is capable of winning and delivering and is a testament to the quality of this team and its prospects. We have a significant presence in the Middle East, with approximately 9,000 employees delivering high quality services to our clients and we expect to continue to win important contracts there. We remain cautious about the mining and metallurgy market. Whilst the sector remains depressed by the current commodity price environment, we're seeing some progress in business development opportunities. We will maintain our capabilities in this segment in order to win our share of new opportunities as the market recovers. We were pleased to have been awarded a major power project in Ontario. We believe that our position as a market leader in North America will continue to be an important contributor to results. And the award from SaskPower for the Island Falls Power House rehabilitation project underscores our ability to win work in this region. In infrastructure, a consortium, including SNC-Lavalin and several other companies, has been awarded a contract to supervise the construction and operations of the Grand Paris Express Line which will showcase our ability to develop mass transit networks in the European market. Work has begun on the Eglinton light rail project which we're very excited to be part of. It's a signature LRT project and is going to benefit Toronto for decades to come. And it's a great example of our ability to provide a fully integrated package of end-to-end services for the whole life cycle of the project. We're also very pleased to have recently received a Gold Award for this project at the Canadian Council for Public-Private Partnerships, the national awards gala in Toronto. The award recognizes the Company's excellence and innovation in project financing. It is also worth mentioning that at the same event we won another Gold Award recognizing excellence in the effective procurement for the new Champlain Bridge Corridor project in Montreal. We believe that maintaining a strong balance sheet is essential. It allows us to continue to invest in our client facing teams and world class execution capability and gives our customers and partners confidence in our ability to deliver on projects. Our significant capital resources also provide the ability to support growth through acquisitions, should suitable opportunities present themselves. Before I pass the call over to Alain-Pierre, I want to reiterate my excitement about my new position and, more importantly, emphasize my confidence in the opportunities and growth potential for SNC-Lavalin. We're a key player in the industry. We have excellent prospects for growth. We have a clear strategic plan to deliver them and we have the balance sheet to support our ambitions. Through the next phase of our strategic plan, we will remain focused on our top priority of winning new contracts, improving project execution and delivering improved results and returns for all our stakeholders. I'm convinced that we will become a globally diverse tier one E&C firm. With that, I will pass the call over to Alain-Pierre to go over our financial results.
Alain-Pierre Raynaud: Thank you, Neil. Good afternoon, everyone. I will now take you through the financial results for the quarter. Please go to slide six. Our IFRS net income for the quarter was CAD224 million or CAD1.49 per diluted share, compared with CAD60 million or CAD0.39 per diluted share, for the third quarter of 2014. Included in this quarter's net income was a net gain on the disposal of our interest in Madagascar's Ambatovy nickel project of CAD146 million or CAD0.96 per diluted share. Our adjusted net income from E&C was CAD71 million or CAD0.47 per diluted share, to be compared with an EPS of CAD0.18 for Q3 last year. Adjusted net income from ICI which excludes the Ambatovy net gain, decreased to CAD45 million or CAD0.31 per diluted share, compared with CAD92 million or CAD0.60 per diluted share, for the corresponding period in 2014. Our revenue backlog increased compared with the end of June and December 2014 to a record high of CAD12.7 billion due to CAD2.7 billion bookings, mainly in infrastructure and oil and gas. Our balance sheet remains strong, with CAD1.5 billion in cash and cash equivalents at the end of September 2015. Now turning to slide seven where we can see a summary of our financial results, total revenues for the third quarter 2015 increased by 21% to CAD2.4 billion compared with CAD2 billion for 2014. The increase was mainly due to an increase in infrastructure and construction and oil and gas, for which incremental revenues were generated by Kentz. Revenue also increased in power, as the Company is no longer required to eliminate E&C revenue generated between the Company and AltaLink post its disposal in the fourth quarter of 2014. These increases were partially offset by a decrease in ICI revenues, principally due to the disposal of our AltaLink investment. Total segment EBIT increased to CAD380 million in the quarter compared with CAD248 million in 2014. The segment EBIT from E&C increased by CAD89 million to CAD155 million, mainly due to higher contributions from oil and gas and operation and maintenance, as well as the positive contribution from infrastructure and construction, compared with a negative contribution for the third quarter of last year. The segment EBIT, from ICI now, increased by CAD43 million to CAD225 million. This increase is mainly explained by the Ambatovy net gain, partially offset by the disposal of AltaLink in 2014, resulting in no EBIT contribution in 2015. Adjusted E&C EBITDA was 6% for the third quarter of 2015 compared with 4% for the third quarter of 2014. Turning now to slide eight, we can see that our restructuring and rightsizing plan is starting to bear fruit. For the first time since Q3 2012, EBIT margins for all segments are positive. The ICI segment EBIT for the third quarter of 2015 was higher than Q3 2014, reflecting the Ambatovy gain, partially offset by the disappearance of the contribution from AltaLink, as it was sold in 2014. The power segment EBIT was CAD7 billion or a 4% EBIT margin. If we remove the net adverse impact of CAD16.5 million from reforecast of certain major projects outside Canada recognized in Q3, the EBIT margin was actually 8%. The power backlog remained strong at CAD2.6 billion. Mining and metallurgy continued to deliver a good EBIT margin at 10%, but a decrease in the services revenues caused a decrease in the EBIT amount. This segment remains depressed by the commodity price environment. Therefore, its backlog decreased to CAD336 million at the end of September compared with CAD464 million at the end of June. The oil and gas segments continued to perform well, with a 6% EBIT margin, especially considering the current environment. The oil and gas backlog decreased in the quarter to CAD3.9 billion from CAD4.4 billion at the end of June, but we see many prospects in front of us. The infrastructure and construction segment had a very good quarter, with an 8% EBIT margin. If we remove the favorable outcome and reforecast on certain major projects in Canada of CAD22.5 million recognized in Q3, the EBIT margin was actually 4% which is in line with our targeted EBIT margin range of 4% to 6%. The infrastructure and construction backlog remained strong at CAD3.9 billion, a 40% increase compared with June 2015. Lastly, we're pleased by the continuing performance of the O&M sub segment which delivered a 7% EBIT margin this quarter, mainly due to a higher gross margin to revenue ratio. Now turning to slide nine, as explained by Neil, the persisting softer economic environment required us to extend our restructuring efforts to further improve our operational efficiency and reduce our cost base by the end of 2015. We aim to deliver an annualized E&C EBITDA margin of 7% in 2017 and we will continue to take any additional measures throughout 2016 to ensure we do not deviate from this important activity. Turn to slide 10. Slide 10 shows our third quarter 2015 cash flow variance. Our cash balance was CAD145 billion at the end of September compared with CAD934 million at the end of June. Two variations in the quarter are worth mentioning. First, CAD601 million were received from the disposal of our Ambatovy interest. Secondly, the line of credit was decreased by CAD145 million to CAD80 million at the end of September which has been fully repaid since then. As such, we're currently not using our credit facility for cash draws. Also note that we returned over CAD70 million to shareholders in Q3 through dividends and share buybacks, totaling approximately CAD235 million for the nine month period ending September 30th, 2015. Now turning to slide 11, as mentioned earlier, revenue backlog increased to a record high of CAD12.7 billion at the end of September 2015. Bookings for the third quarter were CAD2.7 billion and include the Eglinton Cross Town light rail transit project. Book-to-bill ratio in the quarter was 1.14, while year-to-date book-to-bill ratio was 1.06. Now turning to slide 12, the infrastructure and construction favorable outcome and reforecast recognized in this quarter were originally expected to be recognized in Q4. Accordingly, we're maintaining our previously announced 2015 range outlook for our adjusted EPS from E&C of CAD1.30 per diluted share to CAD1.60, but now expect that our result will be at the lower end of that range. Also, mainly due to the third quarter net gain on disposal of our Ambatovy interest, partially offset by additional restructuring charges related to the newly initiated step change program, we're increasing our 2015 outlook for reported IFRS EPS to CAD2.40 to CAD2.70 per diluted share, up from our previous guidance of CAD1.80 to CAD2.10, but now expect that our result will be at the lower end of that range. This concludes my presentation. We can now open the line for questions. Thank you.
Operator: [Operator Instructions]. Your first question will come from Benoit Poirier with Desjardins Capital Markets. Please go ahead.
Benoit Poirier: First question, could you maybe talk - provide more color about the 407 process? Why are you putting back the divesture on the back burner? Is it more a matter of a lack of interest, a change in the strategy or maybe more complexity around the disposal?
Neil Bruce: Yes, good afternoon. No, there's two main things really which is we're not changing our strategy. We continue to believe there's tremendous value in the 407 asset. Our principal focus right now is on maximizing profitability within the E&C platform and we'll continue to update you through into next year on our plans with that. The other piece probably worth mentioning is it's not about interest. It's also one of the best infrastructure investments in the world, 83 years remaining on the concession. It's a solid investment. It's protected from inflation and continues to deliver value to our shareholders. So, we've demonstrated, I think, a number of really good value creation delivery results through AltaLink and more recently through Ambatovy. And we're just looking to make sure that we both concentrate on delivering results within E&C and maximize the value of 407.
Benoit Poirier: And when we look at our cash balance at the end of Q3, you ended with CAD1.5 billion. I understand you postponed a little bit the 407, but could you provide more color about what are your cash deployment opportunities? I mean, looking at your share buyback, I mean, you'd been quite aggressive back in Q2, but you stopped doing share buyback around the beginning of September. So, are you going to be more active now?
Alain-Pierre Raynaud: We take care of our capital allocation, as you may imagine and we will consider all opportunities. But, we don't comment about our share buyback program.
Benoit Poirier: And last question on Kentz, could you provide an update on the outlook when we look at the booking, the margin? I'm just wondering how secure is the outlook for 2016 and 2017? Thanks.
Neil Bruce: Yes, I don't think we're going to comment on the outlook for 2016. However, the thing that we certainly will share is that you can see that the margins within oil and gas which is principally Kentz - formerly Kentz, is holding up. There is margin pressure there. And what we're finding is that, in certain areas of the oil and gas value chain, there are still lots of opportunities for us. So, certainly from a regional perspective in the Middle East, therefore we've been particularly successful, I think, with customers like Saudi Aramco, who are maintaining production levels and maintaining their investments and also within the field operations and within the asset support. So, the asset support in terms of making sure that the oil and gas assets continue to perform and maximize their return, even though it's at a lower rate, but continue to maximize return. And again, we've been particularly successful there. So, we a mixed outlook, cost pressures, less opportunity in new greenfield opportunities, but actually lots of opportunities in the field services and asset support area.
Operator: Your next question will come from Anthony Zicha with Scotiabank. Please go ahead.
Anthony Zicha: Neil, related to the last question, with reference to bookings on the oil and gas side, they were up by CAD600 million and that's positive. However, could you give us a bit of an update in terms of opportunity pipeline that are large enough to replace the Gorgon LNG project? And maybe could this also be bridged by potential acquisitions?
Neil Bruce: Well, let me answer the second question first. I think in the first couple of days of my appointment being announced, I think I was really clear that we're not going to go and do major acquisitions until we demonstrate, we deliver and we demonstrate quarter after quarter stability, no surprises and continuing performance improvement. So, from that perspective, still absolutely on that page and clear about that. I think in terms of the funnel and opportunities, we've got over CAD40 billion worth of potential opportunities within our business development system. And so, there are plenty of opportunities. We know exactly where they are. What we're finding, though, is that some of that, a small amount, has been deferred. We do see the cycle times in terms of coming through into capital allocation and spending to take longer. And we're seeing a more competitive environment even from a focus from the customer perspective on the margins and the cost base. So, we see a CAD40 billion funnel which is high as previous. But, it's taking a bit longer and there's cost pressures around the execution of that.
Anthony Zicha: Okay. And maybe Alain-Pierre, you've provided the 7% annualized margin target in 2017. So, could you please provide us some additional detail on the path to achieving this goal?
Alain-Pierre Raynaud: Let's say we based these objectives by - let's say on mainly two things. First, to improve - the improvement of our ability to execute on time, on cost, of our projects. And you observed that we have now by far more robust execution in our projects. And second, Neil decided to launch step change initiative, let's say, to comply and to make solid the journey between 4% of adjusted EBITDA today to 7% in 2017.
Anthony Zicha: Okay. And Neil, last question. Considering the new federal government's infrastructure spending plan, as basically they're doubling it up over the next 10 years and that SNC is at a record backlog, so how much more business could you book? And are there any growth constraints?
Neil Bruce: I mean, there will always be growth constraints depending on how far you look at that. But, we've certainly got a number of projects that are running through the backend of this year and next year in terms of our target bidding and business development opportunities. And we'd like to win our fair share of that. In terms of everything that we're looking at, we haven't really taken into account - from a market perspective, we haven't really taken into account anything with regards to a view that the infrastructure spend will necessarily double. We've taken it on current market outlook today. So, certainly the announcements that have been made, we definitely see that as a potential upside through 2016 and 2017.
Operator: Your next question will come from Sara O'Brien with RBC. Please go ahead.
Sara O'Brien: Can you comment on what's changed since the last quarter when the guidance for the year was meant to be very Q4 backend loaded? I guess like the understanding was there were going to be a lot of reversals of previously taken provisions in Q4. Just wondered if those came forward into Q3 or what constitutes the difference there?
Neil Bruce: Yes. I think, as Alain-Pierre sort of mentioned in his run through, there was just over CAD22 million in infrastructure. That effectively took us to an 8% margin in infrastructure. The underlying piece, when you take the CAD22 million out, is 3.6% or just under the 4%. And that effectively were run-offs, non - things that will not repeat that originally we believed would happen in Q4. And we were able, just like the Ambatovy sale, to bring it forward into Q3. And we're always going to look at being able to finalize things quicker, better. So, from that perspective, yes, some of the anticipated Q4 has come into Q3.
Sara O'Brien: Okay. Can you comment a little - give us a little bit of detail on what the step change program entails? I mean, another CAD50 million in expenses in Q4, is this just staff reduction? And what are the objectives of this program?
Neil Bruce: No, I mean, the objectives of this program is effectively - I mean, it's a well proven program. Our customers like Shell have implemented it on more than one occasion. ABB utilize it. I'm familiar with it because we utilized it in AMEC. And effectively, it's not just a cost reduction program. It really is an efficiency. It's our ability to be able to quickly look at everything we do as a company, how we organize ourselves, how we interact internally, how we interact externally, looking at our processes, our bureaucracy. And effectively it's more of an efficiency program. Typically this will lead and this will be the precursor, to a drive around operational efficiency. Of course, there are cost reduction measures in all of this and that's part of the objective. But, it's also a cultural program in terms of making people a lot more accountable, aware and cost conscious in terms of how we go about doing our work. So, examples are we've already implemented a large property consolidation effort across the main cities in Canada. We're doing the same thing in Houston and hard on the track there will be every single office in the world. We will be looking at our occupancy. We'll be looking at our opportunities to consolidate. And that's going to deliver. That's going to deliver sort of real large savings moving into next year. So, we're looking at everything from an efficiency perspective and also looking at - but more secondary than primary, we're looking at the staff in terms of FTEs and how many people that we need to execute our work. But, of course the key in all of this is that, if we become far more efficient and we win more work, then we provide more opportunities for our talented individuals to grow with us.
Sara O'Brien: Okay. And the CAD50 million, is that just consulting fees? I'm just wondering what you're going to spend the money on.
Neil Bruce: No, this is the money that we require in order to complete the exercises. So, when we look at the cost-benefit analysis, again, of the opportunity to consolidate existing offices, there is a cost associated with that. So, basically we've looked at the consolidation efforts. We've looked at how much benefit we will get and the cost associated with that. And if the cost-benefit analysis is positive and in all of these cases it's very positive, then basically we're going to spend the money in order to reap the benefit of that going forward.
Sara O'Brien: Okay. And then just lastly for me, on concessions, what's the status of the other Canadian or North American concessions monetization? I think we were expecting something by year-end on that front.
Alain-Pierre Raynaud: Yes, we're now continuing to prepare and we aim to be capable to finalize, let's say, early next year or at the very end of this year. So, the purpose is to optimize and to crystallize value embedded in our portfolio of ICI assets except 407.
Operator: Your next question will come from Yuri Lynk with Canaccord Genuity. Please go ahead.
Yuri Lynk: Just back to the oil and gas for a second, Neil, was the Exxon contract booked in the quarter or is that still to come?
Neil Bruce: Yes, it was booked in the quarter. Yes, it was part of the CAD600 million booked in oil and gas.
Yuri Lynk: Okay. And just on some of the prospects, I mean, can you get any more granular on the types of clients that you're working for? And specifically, is there any work available on the two large refineries? I guess clean fuels is well into construction, but the Al-Zour refineries?
Neil Bruce: Well, typically what we've done over the last couple of years is consolidated and targeted our customer base into the customers that we believe we've got relationships and we can build future relationships with. So, they are typically the Exxons, Shells, BP, a number of the big IOCs, but we also have I think a fantastic portfolio with some of the top NOCs as well. And Saudi Aramco is a big example of that. So, we're really looking at - I mean, our business model is relatively - although it seems complex at times, it's relatively simple which is our business development strategy really is to look at which customers are spending what in what region and how much of that would fall into our capability to deliver. So, from that perspective today, number one from a geographical perspective is the Middle East. There are more opportunities with our key customers and the clients we would like to work with in the Middle East that are going ahead than any other area in the world at the moment. So, that's certainly number one. And clearly, we're not spending a lot of time in the higher cost basins of the world. So, thankfully we didn't have a great deal of activities in the more mature or higher cost regions. So, therefore I think we're being less affected than some of our competitors who do.
Yuri Lynk: Okay. And just, I mean, do you think - through the end of this year, just looking at the oil and gas backlog, I mean, do you think can maintain this level? I mean, it's come off quite a bit the last few quarters. The revenue was up a lot in the third quarter sequentially. Is that some seasonality? Just how do we think about the rest of the year and what we saw in the quarter?
Neil Bruce: Yes. No, I mean, you've pointed out an interesting stat, because - and it's not seasonality in oil and gas. What that's really - the underlying piece to that is around the work that we do within field services which is our largest piece, together with some of the asset support work, effectively is done almost on a call-off contract basis. So, there is a lot of work that we do in the oil and gas industry, especially in the field services side, that in theory never sort of gets into the order book, because we're - it's being called off. We're performing it. We're burning it off and then we're moving on and it's never quite - it's not a big, new contract award that effectively then goes in and is noticeable in the order book and the backlog. So, that's why you actually see the order backlog coming down slightly, but actually you see the revenue is going up.
Yuri Lynk: Yes. So, I'm wondering how sustainable that is for the next couple of quarters, I mean.
Neil Bruce: Like I said before, I mean, in the oil and gas arena, we're clear that we're being affected in a similar way to our competitors from a cost in the margin perspective. We're being less affected because we do less in the frontend new projects and we do a lot of our work in the projects' completions commissioning, field services, asset support. And the asset support work, we've got contracts in there in the Middle East with Saudi Aramco that is for the next five years. It's - the activity level may go up and down a little bit, but ultimately there's some long term contracts there that we feel pretty confident about.
Yuri Lynk: Okay. And then the last one for me, you are wrapping up some LNG jobs in Australia. Is the goal to try to stay on those sites in a supporting role? And what are the changes that you think you can actually do that?
Neil Bruce: Yes. I mean, our goal and certainly the Kentz goal before we bought Kentz, was ultimately to help our customers with the solutions that they need and stay there to help them through to the end. I think we do have opportunities there. If the customer needs help, wants help, we'll absolutely be there to help them all the way through.
Operator: Your next question will come from Frederic Bastien with Raymond James. Please go ahead.
Frederic Bastien: First question, I don't think I've ever seen your margins come in so strong on the operations and maintenance side and yet that was achieved on lower revenues. Could you please comment on that?
Neil Bruce: Yes. I think ultimately it's the revenue decline was predominantly around really low margin work. So, it's almost that simple. As low margin work has been removed the margins have actually gone up and actually then highlights some of the great work and value adding work that we do inside O&M that probably hasn't been too apparent in the past.
Frederic Bastien: Okay. Can I also infer that a lot of the work that you were doing for the federal program was probably being done at fairly low margins?
Neil Bruce: That would be a fairly safe assumption.
Frederic Bastien: All right. Now, we've seen a few articles in the paper recently in relation to the SaskPower carbon capture project not operating anywhere near capacity, but these articles were largely based on documents that were issued a while ago. But, just curious if you could provide us with some level of comfort that these issues are behind you and that there won't be any negative repercussions on your results going forward.
Neil Bruce: Yes. I mean, we're extremely frustrated about articles popping up that are a year old, as you said. We're continuing to work with SaskPower on the plant and support them with everything they need in order to get the plant up and running at full capacity. And this publicity is a year out of date. And there is nothing to change our outlook in terms of the financial position that we've taken quite a while ago and there's no reason to think that anything is going to be different.
Operator: Your next question will come from Michael Tupholme with TD Securities. Please go ahead.
Michael Tupholme: You commented on the challenges you're experiencing in the mining arena. You had very strong margins in your mining segment this quarter, at least compared to the first half of the year. Just wondering if you can talk about whether or not there was anything unusual there and how we should think about that going forward, given your comments about weakness in mining in general.
Neil Bruce: Yes. I think the market overall is - I think people are aware that it's in the down cycle and hopefully at the bottom. We're - and I think we've talked about this before. We were reconfiguring our mining group to capitalize on the expertise that came in with Kentz around asset support and sustaining capital. So, we've got a big, big, big push on that and that is helping. And we've also had a big push on reassembling and expanding our studies team. And our studies team really do get - typically will get more profitable work, but at a lower revenue perspective. But, the real element in all of that is making sure that we're well positioned for playing the mining companies' game, a degree of confidence to be able to invest capital in some of the projects. And hopefully, with the amount of study work that we're doing on various projects, we'll be well positioned to help them once they approve the capital allocation.
Michael Tupholme: The second question relates to nuclear. Can you just update us on what opportunities you may - any near term opportunities there? And particularly the one I have in mind maybe would be related to the Darlington facility, where I think the phase one work you're doing there is nearing completion and phase two is slated to begin next year.
Neil Bruce: Yes. I mean, we had our last Board meeting at the Darlington site, interacting there with the customer and the ECU. We have got - we think there's fantastic opportunities to do some incredible work there in terms of the refurbishment and to prolong the life of that plant. And we had a great site visit around looking at the proprietary work that's being done there, working with our JV partner. And we think there's great opportunities at the site there. And we firmly believe that there's great opportunities within the services sector of the nuclear industry.
Michael Tupholme: Okay. And then just lastly, you mentioned that you - some favorable cost reforecast that you had expected to realize in the fourth quarter had been pulled forward. When we look at your guidance, are there any additional favorable cost reforecasts still included in the guidance for the fourth quarter?
Neil Bruce: I'm really not sure we're going to - we're necessarily going to answer that. But, I think you just need to take the fact that we've been as clear as we can be around the full year, the CAD1.30 to CAD1.60 and even clearer around the fact that we believe we'll be down at the bottom end of that.
Operator: Your next question will come from Maxim Sytchev with Dundee Capital Markets. Please go ahead.
Maxim Sytchev: Neil, just a question on infrastructure. I mean, obviously very pleased to see positive EBIT this quarter. Are you getting a sense that you right now have got a handle on execution on a going forward basis or should we still expect some lumpiness? And I guess the fact that right now you have positive margin, is it a function of legacy projects rolling off or what is exactly going on there? Thank you.
Neil Bruce: Okay. We're cautiously confident around the work that we've done within the infrastructure group and across the wider company around producing better, more stable project performance. And I think that is one of the keys - sort of key takeaways of this quarter. And ultimately you'll all be measuring us on that basis going forward, so I do believe that we're in a better position from that perspective. And really, our objective in terms of the lumpiness, I mean, part of the quarterly reporting in the business that we're in is we will have fluctuations quarter by quarter. Our objective is to make sure that they are not negative financial surprises, albeit within infrastructure, as you well know, there'll be a degree of lumpiness in terms of when contracts begin, when contracts end, points along the way that we achieve milestones and either release contingency or recognize some of the upsides. So, there will be degrees of lumpiness, but our objective is to make sure they are not due to unfavorable financial surprises. That's our objective.
Maxim Sytchev: And then, have you started booking any revenue and hence EBIT on the newer won contracts such as Champlain and Eglinton? Is there anything in the results yet or is it going to show up later?
Neil Bruce: So, to be precise, we have started but it is tiny, absolutely tiny.
Operator: Your next question will come from Sara O'Brien with RBC. Please go ahead.
Sara O'Brien: Just with the new liberal government in place, just wondered what next legal steps there might be for the criminal charges against the Company.
Neil Bruce: So, I mean, generally we haven't really got much of an update there. New liberal government, I'm not sure that really makes a massive amount of difference in terms of the process. So, we'll continue to work and cooperate on all of that and try and progress it, but really no real news there.
Sara O'Brien: Okay. So, there are no, like definitive date for a next step with respect to either SNC getting information or having to appear in court at this point?
Neil Bruce: No. I mean, there is the court proceedings which I think are all public, but nothing apart from that.
Operator: It appears there are no further questions at this time. Sorry, I do have a question that just queued up. May I proceed?
Denis Jasmin: No, we have to end the call now.
Operator: Okay. Thank you. That is all the time we have for questions today. Mr. Jasmin, I'll turn it over to you for any additional comments or closing remarks.
Denis Jasmin: Thank you, everyone, for joining the call today. If you have any questions, please don't hesitate to call me. Have a good night, everyone. Thank you. Bye, bye.
Alain-Pierre Raynaud: Thank you.
Neil Bruce: Thank you. Bye.
Operator: Ladies and gentlemen, this does conclude the conference call for today. Thanks for participating. You may now disconnect you line.